Fabienne Caron: Welcome to the CECONOMY MediaMarkt Full Year Results Webcast. We are live from our headquarters in Düsseldorf in a hybrid setup with participants both on-site and online. I'm joined by our CEO, Dr. Kai-Ulrich Deissner; and our CFO, Remko Rijnders. They will present the highlights of the year, followed by a Q&A session. Today, we meet in a new setup, one joint call for both press and analysts. We are pleased to welcome journalists online from our 11 countries. The presentation will be held in English with live translation. You can switch the language in the live stream. Before we begin, please note that today's discussions will include forward-looking statements. For more information, please refer to our disclaimer. The full presentation is available on our website. With that, I'm delighted to hand over to Dr. Deissner, who will guide you through the highlights of the year.
Kai-Ulrich Deissner: Thank you, Fabienne. Good morning, everyone. Thank you for joining us here today. I'm really happy to have you here with us today, now whether you're joining us here at our CECONOMY headquarter in Düsseldorf or participating virtually, as Fabienne said, from 11 countries of our footprint. Today, Remko Rijnders, my trusted CFO, and I will take you through the details of our financial year '24 and '25. Now we had already shared some preliminary numbers with you back in October, but I'm sure you will see some very strong performance across the board today, because we've been on a strategic transformation for some 3 years now from a classical retailer into what we call an omnichannel service platform. And last year's results show very well how that strategic transformation is gaining momentum. It's only the tip of the iceberg, but let me remind you from the very beginning, 11 quarters of EBIT growth. That's a very strong track record. Now there's 2 levels to this. First, for our business model, we are enhancing our Retail Core business model with what we call growth businesses. These are by now substantial in size and they continue to grow. But secondly, and actually much more fundamentally, this transformation is about the customers, about customers that think and feel and go shopping differently now than they did in the past. And all of our teams in the stores, in our logistics centers, in the offices throughout our 11 countries, they do want to put those customers first front and center, to give them what we call experience electronics. Our goal is to create a unique shopping experience that is tailored to their needs. Do we get that right every day? Of course, not. Not yet, but we're moving in that direction and into the right directions. As you will see today's results underline that. We've set, over the past 3 years, a solid foundation for future growth, and we're proud of that. Ladies and gentlemen, we're on the right path, and we will see this consistency pay off in the new financial year again. That's why we will publish a positive outlook for the current financial year '25 and '26. I will get to that later. Now let's first have a look into the details of those results of last year. Let me start with an overview, and you will see that we delivered strong results across all our key metrics. First, sales reached EUR 23.1 billion. That's a growth of 5.7%, and that's more than the moderate growth that we initially guided. And we grew EBIT by 24% to EUR 378 million. That means profitability is growing steadily. Just as a reminder, for 11 quarters in a row now. And finally, a very hard measure. We increased free cash flow by 180%, now reaching EUR 337 million. And as I said initially, fundamentally, our customer satisfaction reached a new record. Our Net Promoter Score improved to 61. That's up 3 points from the previous year. So our focus on customer experience is indeed paying off. Now we want to accelerate even more based on this momentum. We know that we still have a way to go in terms of our transformation. But we are ready for that next step. And we believe we have a really good partner to take this on with JD.com. This partnership will help us accelerate even faster. JD.com brings significant experience, especially in logistics and technology. In teaming up with them, we want to create not just experience Electronics, but the future of European retail. Just so that you know where we stand with this partnership. As you all know, we've signed our investor agreement back in July this year. Now at the end of November, JD.com had secured a total shareholding of 85.2% in CECONOMY. And now we're working on and waiting for the outstanding regulatory approvals to finally close this transaction. We expect that closing still for the first half of the next calendar year. And I'm more convinced than ever that this partnership will make us even stronger and will take us to that next level. But independent of that partnership in the future, let's look at the progress we made in our business, and that's on Slide 4. The performance of our growth area shows we are on the right track with diversifying our business model. Each of our strategic business segments contributes to our success. This diversified growth gives us the ability to adapt to changing market conditions even in the future. And we're adapting to our customer needs. Our all-time high of the Net Promoter Score isn't just a number of 61, it reflects fundamental improvements in how we serve everyone that shops with us across all touch points and every day. In this context, we've made significant progress with what we call personalized service, a specific program to let you design your visit to the store. We've completed that rollout in 4 countries already, and we're currently expanding to 5 additional countries. This, by the way, demonstrates that we scale successful concepts internationally, but of course, we do adapt locally to reflect the different expectations that may exist in different countries. And we also invest in our backbone, our logistics and infrastructure, especially for those omnichannel capabilities. Here's an example. We've rolled out 16 regional fulfillment centers that's across Germany, Spain and Turkey. These centers then help us reduce delivery times and improve reliability of delivery for our customers. On the technology or IT front, we are leveraging data and AI to improve our customer experience. For example, with personalization to help our customers discover products that truly meet their specific needs and to help us with conversion rates and customer satisfaction. Additionally, we're driving our sustainability measures, one of the key pillars of our strategy. Our refurbished sales nearly tripled this year. This also reflects changing consumer behavior. More and more often, customers choose high-quality refurbished products, because it makes sense for them economically and at the same time, it is an active contribution to putting less pressure on the environment. You probably recognize the next slide, #5. We do present it each quarter to give you transparency about the development of the 9 KPIs, which we introduced at our Capital Markets Day back in 2023, because these 9 KPIs represent the essence of our strategic focus. And once a year, we provide you with an update that includes precise figures. That's today. And I'm very proud to show to you that we've reached 3 of those nice strategic KPIs ahead of time. We achieved 53 million loyalty members, we increased our income share of Services & Solutions, and we grew our retail media income, all before the official deadline, September '26. This shows we have made huge strides in becoming more than a retailer. Our growth businesses are now a significant contributor to our business, and they still continue to grow steadily. This will become clear on Slide 6 too. Our growth businesses now represent a total of 36% of our gross profit. That's up from 33% last year, and it's a substantial increase from the 31% in financial year 2022, '23. So we believe we're well on track to reach our target mix for financial year '25-'26 when we expect our growth businesses to contribute even more significantly to our overall profitability. Now for the next few pages, let me walk you through some of the key operational developments last year, first for Retail Core, but then also for those growth businesses that I keep talking about. Let's start with Retail Core. It continues to be our strong foundation. And we're making some progress across all key areas in Retail Core. Let's look at loyalty first. As I said, we already surpassed our midterm target of 50 million loyalty customers, and it's now 53 million. Why is that? We successfully integrated our MediaMarkt and MySaturn programs in Germany for a more customer-centric approach. And our loyalty program is now available in nearly all countries. Why is that important? These 53 million customers come to our stores and to our app and to our website far more frequently than unregistered customers. And we are approaching them with more targeted offers that convince them and they do drive our revenues. As you can see, we also improved another key metric, and that's inventory management further. It's now down to 8.8 weeks of stock reach. And of course, online, our online sales were driven by strong growth, both in visits and in conversion rate. And also our omnichannel approach is paying off. We're successfully linking for customers, store visits and online journeys. It's finally reflected in our pickup rate, the rate of customers that chooses to go into a store, although they ordered online. And that's now 37%. That's a great example of what omnichannel means. Not to forget the app, the percentage of online sales generated through the app has grown to almost 30%. That's very strong growth, and it's mainly driven by Turkey, Spain, the Netherlands and Austria. Final element, store modernization. It remains fully on track. We've promised a target of 90%, and we're on track to achieve that. Last year, we opened, in particular, smaller store formats, 29 new Express stores and 8 new really small smart stores. That brings our innovative formats closer to our customers. Looking ahead into next year, we are preparing for the future through even more small format stores and at the same time, a few more large lighthouses. As in the past, this differentiation, which is untypical for us historically, comes together with a cost focus and better logistics. So it serves our customers better and it is more efficient. All of this together shows our Retail Core is the strong foundation, and it is making steady progress to get even better. Now based on that foundation, next to our growth fields, and let's start with Services & Solutions. Now we did grow all product categories in Services & Solutions, but what stood out last year were insurances and installations and configuration services when customers buy new devices. It's what we internally call power services. Turkey and Spain were the 2 highlight countries for that part of the service business. For this year, we have 2 major objectives. We want to make it easier for customers to buy services online or in the app because, frankly speaking, this is still not as convenient as in our stores, and our attach rate still here has some potential. And we want to focus secondly on growth in the telco segment. We believe that there, there's still a lot of growth for us, potentially even with MVNOs like our own mobile brand, Let's Go Mobile, which we launched in the Netherlands only this year. Second element of Retail Core is what we call Space-as-a-Service, and it also expanded successfully. We're now offering what we call experience zones and entrance statements in over 700 of our 1,000 stores. And we're working with around 25 very special partners. We call them internally non-endemic partners. What that means it's partners that are not our classical industry partners, but where actually we establish a new relationship, and there's also new business potential. Let's move on to Private Label, our own brands. Now to be fair, the progress in Private Label has been slower than progress in other areas. But last year, our Private Label business benefited significantly from our audio line with Peak and there, especially by the Robbie Williams campaign. Strongest product category is still accessories. And why is that? Because we tailor our accessory offers to highlight products. Take the Nintendo Switch 2 launch as an example. When we launched it, cases and many other accessories, cables were also in high demand. And so we used that momentum and posted strong numbers around private label around the Switch launch. Finally, we are improving the usability of our products. We've just recently introduced an AI chatbot that's been really well received by customers, especially with the use of smart manuals. Then after Private Label, let us look at Retail Media business. This grew especially strong in Benelux, Spain and Turkey. And we extended our offer again. We've introduced our first off-site program. In case you're not familiar with that solution, advertisers can reach MediaMarktSaturn shoppers not just on our website or app, but elsewhere. With this, we open new potential for our partners in addition to our own platforms. And that is also very much in focus for this financial year. Secondly, we want to onboard here as well non-endemic partners and thus build new relationships, very similar to what I've just said about Space-as-a-Service. Then Marketplace on Slide 10. With Turkey now active, we are operating our Marketplace in 8 countries now. The GMV, the gross merchandise value, reached EUR 527 million. That's another 90% year-on-year growth. Importantly, our EBIT generation more than doubled in that period. So we've also made strong improvements in our profitability as we scale this business, and we're not done yet. We're preparing to roll out Marketplace next in Hungary and Switzerland for 2026. At the same time, as we roll this out, we will enhance our assortment and add what we call verticals, I would call them topic areas. This is important because these verticals or topics have been very successful in the past. And you will see that they are different than our core assortment. For example, energy, fitness, e-mobility or even gardening. These verticals expand our assortment, and they make us even more attractive for our customers. And as you know, and as I said, sustainability is a core part of our strategy. And again, we doubled down on this last year, as you can see on Slide 11. There's 3 aspects. Let me start with BetterWay. We reached our BetterWay targets ahead of plan. Let me remind you what BetterWay is. BetterWay products are products in our assortment that are more sustainable, for example, by being more energy efficient. And these BetterWay sales now account for 25%, so 1/4 of our total sales. That's already now a lot more than the 20% target, which we had given ourselves for the financial year '25-'26. Second, the number of trade-in products. So when a customer returns a used device, this increased by 11%. At the same time, the average trade-in value also increased, and that helped us make this a very profitable business for us. Finally, refurbished products. So used products, refurbished to be as good as new. This showed exceptional growth and increased by 191%. That's a very clear sign that we really are offering what customers nowadays are looking for. So overall, we do feel encouraged to stay on this path. We will expand our trade-in offers. We will sell even more refurbished devices, and we will continue to focus on reducing the emissions footprint of our products. Now all of this that I've just so proudly presented to you, all of this would not be possible without our great team. I strongly believe that for us as an omnichannel platform, people and the human touch make all the difference. So we consistently invest in our people because we want, as MediaMarktSaturn, to be the best place for them to work. And so we ask them, we ask them twice a year, would you recommend us as an employer. The results, we call that the Net Promoter People. And in our last survey, it was at an all-time high of 42. That's up 4 points year-on-year, or 10%. And of course, we also invest in their development. We now use AI actually as a core tool to empower and to train our employees. And at the same time, strengthening those AI skills across all levels in our organization is a key priority for us in this next phase. We also made progress looking at diversity. Our female share in the top leadership increased by 250 basis points year-on-year and now stands at 16.3%. Come to think of it. Perhaps even more importantly, we have so many different cultures on board in our team. And that's a very important aspect also to me personally of diversity that shapes our company culture. Across Europe, people from over 130 nations work with us. Yes, that's right. More than 130 nationalities at MediaMarktSaturn. I want to take this opportunity not to speak to press and analysts, but to thank all those amazing people, to thank you guys that you work with us. All of this wouldn't have been possible without you. So thank you. From the bottom of my heart, thank you. Before I now hand over to Remko for the financial results, I want to highlight the 3 points that I want you to remember after our presentation today. Number one, the customer is always in the center of everything we do, not always perfect, but better every day. We are convinced that our omnichannel model is the right way to go, and it delivers on their expectations. So we will build on that in the future. Second, we have proven once again that our strategic direction, which has been stable for 3 years, is the right path. We continue to diversify our business, and we do become more than a pure retailer. Our growth business are no longer small. They are a key pillar of our success, and they continue to deliver consistent growth. And thirdly, as I started, we performed strongly despite an arguably challenging economic climate. Our sales grew more than moderate and our profitability improved for the 11th quarter in a row. Let me now hand over to Remko for a closer look at those amazing financials. So Remko, please join me.
Remko Rijnders: Thank you. And also a big thanks from my side as well, and a warm welcome once again. As Kai already highlighted, we achieved a strong result this year and delivered slightly ahead of our updated guidance with both a strong sales growth of 5.7% and adjusted EBIT of EUR 378 million, slightly above our updated guidance of around EUR 375 million. This represents a 24% increase year-on-year or EUR 72 million compared to the previous year. In my opinion, these results are visible and measurable success. They are proof that we are making good progress in our transformation, which began just under 3 years ago, as you can see on Slide 16. Our efforts have translated directly into financial strength. We have significantly improved our profitability with our adjusted EBIT growing by an average of 22% year-on-year. That's a performance that speaks for itself, and we are certainly very proud of it. These results come from robust sales growth in our Core Retail business, the increased contribution from our successful growth business and our strict cost discipline. I will go into more detail on all 3 areas shortly. Let me now take a closer look at the full year results. We reported solid sales performance in all our 4 quarters and released very strong 6.9% like-for-like in Q4. Our profitability increase was driven again by our growth business, while we remain focused on cost. For Q4, our gross margin increase of 40 basis points was the main driver behind our profitability improvement. And now per region, the region DACH performed strongly over the year, and Germany reported the highest improvement in the region. This is a strong achievement, continued in a muted market, and we are pleased to report that we held our market share. In Western and Southern Europe, there Spain was the strongest contributor, both in sales and in EBIT growth. Note that the Netherlands had a strong EBIT growth, too. Finally, for Eastern Europe, Turkey continued to perform strongly. While we are still in restructuring mode in Poland, as we said before, it will take a bit more time. Let's now take a look at our sales from Services & Solutions. As a reminder, this includes insurance and warranties, telco and digital products, installation and repair, consumer financing and sustainability services. Overall, sales from Services & Solutions increased by 12.5% for the full year. Regarding the individual service categories, extended warranty and consumer financing achieved strong results for the full year. These figures show once again that our efforts to improve our service offerings are paying off. We have successfully convinced our customers that we are not just product providers, but above all, solution providers. Let's move on to our online business. Over a 12-month period, online sales increased by 13.3% to EUR 5.7 billion. This corresponds to an online share of 26%, including our Marketplace, and this is 240 basis points more than the previous year. Please keep in mind here that our Marketplace is currently active in 8 countries with the recent opening in Turkey. We expect the final 2 countries, Switzerland and Hungary, to go live in 2026. We still see a great deal of potential here as the marketplaces to continue to ramp up. Let me now return to EBIT development. Our gross margin increased by a strong 30 basis points for the full year. This is essentially due to the positive impact of our growth areas. If you look at our operating expenses, you can see that our adjusted OpEx ratio has decreased again, although only slightly by 10 basis points to 17.3% of group sales for the full year. We have improved our location costs as well as the efficiency of our marketing spend. We also place strong emphasis on managing our indirect spend. In simple terms, we are working hard to control all our internal costs that don't directly relate to customer-facing side of our business. Let me walk through from adjusted EBIT to net profit. As explained before, we increased our adjusted EBIT by EUR 72 million this year, which is a strong operating performance. Below the line, our net profit came in at minus EUR 34 million, mainly impacted by nonrecurring items like impairment we made in Poland for EUR 34 million. Remember that we are in restructuring mode over there, as I mentioned before. Second, we recorded a EUR 32 million transaction cost for our coming partnership with JD, and clearly see this as an investment for our future. So it's fair to say that excluding those, we would have reported a positive net profit. Let me finish with cash. Indeed, cash is king, particularly now in retail. While profit is an important measure, cash is the true livelihood of the company. A strong free cash flow demonstrates that our business model is working efficiently. In this case, that gives us the strategic freedom to fund growth, reduce debt and ensure we are resilient and agile in any economical climate. In essence, it's the engine that powers our long-term success. We generated EUR 280 million more cash than last year, which is a fantastic performance in my view. On this positive note, let me now hand back to Kai.
Kai-Ulrich Deissner: Thank you, Remko. You see, we are having what I call positive momentum. And this, we want to carry it into this year. So now in conclusion, ladies and gentlemen, I'd like to share our outlook for the financial year '25 and '26. We are confident that we will continue to improve. We very formally expect a moderate increase in currency and portfolio adjusted total sales with all our regions contributing to that sales growth. Secondly, and arguably more importantly, we anticipate an adjusted EBIT of around EUR 500 million. This is also the target for the financial year '25 and '26 that we have communicated our Capital Markets Day back in 2023, and ever since. This improvement will be driven by the DACH region and Western and Southern Europe. And we already started into this new financial year strongly, as you will see on the next slide. As you know, Black November and Christmas are very important times in the year for us. They set the tone for our Q1 performance and our Q1 is usually our strongest quarter. So it's important. And I'm very proud to tell you, we had a successful Black season. Many of our countries delivered strong numbers. Especially [indiscernible] this year, in case you're interested, floor care robots, computer hardware and small domestic appliances like kitchen devices, usually smart kitchen devices. At the same time, our attachment rate for Service & Solutions, one of those growth areas, also was very strong. All of this performance was, of course, made possible by working on the engine by excellent product availability and by our marketing campaigns. Here, you may remember, we turned November into Yovember, because we want to say yes or Yo to offering our customers whatever they need, be it the best product, the best service or the best possible price. I'm very happy to look into more detail here together with you in February when we present our Q1 results. So in wrapping up, what have we presented to you today? First, we delivered strong performance in a challenging market environment, again. Second, our experience electronics strategy translates directly into greater customer satisfaction. Our record NPS underlines this. Third, our growth businesses are no longer small. They are an integral part of our business, and they continue to accelerate. Fourth, our focus remains unwavering on cost management, liquidity and profitability. Fifth, we are ready. We are ready to accelerate our development with our new strategic partner, JD.com. And finally, we maintain, unlike others, a positive outlook as we enter the new financial year. Ladies and gentlemen, as we conclude our presentation, I want to emphasize this positive momentum that CECONOMY has demonstrated throughout the past financial year. We still are not transformed fully, and we have a way to go. But that positive development shows we are on the right way. We're not just developing consumer electronics and experience electronics, we are paving the road to become the experienced champion in consumer electronics in Europe. Our dedicated team of almost 50,000 employees from more than 130 nations is working very hard on this vision. We will continue to stay close to our customers until we become a truly customer-centric omnichannel service platform. Thank you for your attention. We're now ready for your questions. Thank you.
Fabienne Caron: So we will now open the Q&A session. So in the room, please raise your hand and wait for the microphone. Online, you have received a QR code with your registration. Otherwise, you can scan the QR code that may appear on screen to submit your questions. [Operator Instructions]. So we've got the first question online from xyz.pl, so from a Polish journalist. The first question is, are you still ready for major capital injection into MediaMarkt Poland? Second, do you plan to keep fighting for market share to become #1 in Poland? And third, how big will the change be after the JD.com transaction?
Kai-Ulrich Deissner: Yes, Matthias, thanks for the questions. Remko will take the first 2 questions, and I'll round it off with the third.
Remko Rijnders: Yes. Matthias, thank you for the question indeed. And let me highlight a bit how we see Poland at the moment. Poland is extremely important for our portfolio of countries. It's an important market, and it's a growing market. And of course, as we look at the results right now, we are investing in the team. We opened our marketplace in Poland that is now paying off. So we treat Poland as a very important country and a country that is very important also for our growth in Europe and also in a Europe that is at the moment consolidating. So that's foremost. Secondly, basically, how do you keep on plan fighting in Poland. We have mentioned it a couple of times, and it goes for all our country portfolio. For us, it's extremely important to be indeed #1 or the #2 in any country. And that's our ambition that we have together. And that's what we want to achieve in Poland where we go to that direction. But as mentioned already, this will take time in Poland. Poland is a very competitive market, and we are looking at the options as we speak. And let me now hand over to Kai.
Kai-Ulrich Deissner: Yes, let's talk about JD. Actually, it's no different for Poland than for any of our other markets. What do we look -- what are the likely first changes that we see from our partnership with JD. And we've talked about it. We are, in particular, looking to their expertise in logistics, in particular, in delivery towards customers and in technology. And those are the 2 areas that will all materialize most likely in all countries, but most certainly also in Poland to help us, as Remko said, to fight back for that important market position, which we are committed to get.
Fabienne Caron: Good. So we will show the QR code again for people who didn't have time to register to do so. So the next question is from Javier Garcia Ropero from Spain. He is from Cinco Días, a newspaper. He is asking, Spain showed a significant sales growth last year. What do you expect in the market in terms of sales growth and new store for next year?
Remko Rijnders: Yes. So Javier, thanks for the question, and let me take this one. Yes. The Spanish market in 2025 was a very positive market. First of all, from a market perspective, overall, but in that market, we were able also to gain significantly, market share, both offline and online without opening stores. So basically, what we are looking into for next year is still that the Spanish market is going to grow. And in that market, we have still enough potential to grow more than our competitive environment, gaining more market share. So we are very positive about the Spanish market, but we are even more positive about our performance in that market, both on- and off-line.
Fabienne Caron: Good. Next questions. We cannot see where it comes from. It's a question regarding if we plan to cut jobs at CECONOMY MediaMarkt.
Kai-Ulrich Deissner: So I'll make sure that everybody heard that. So the question was whether we plan to cut jobs. And the answer is no. We do not plan to cut jobs. Very clearly, we do not plan to cut jobs. Let me explain that a bit. The business we're in means we constantly review our performance, as any normal retailer would. We're looking at that store and see whether it's still performing. We are looking at that area and seeing whether it's still performing, or at that area. So there will be changes. And yes, we will, of course, like in regular business, sometimes close 1 store here to reopen it there. And that may also mean that there is 1 or 2 or 3 jobs lost in the process. But that's very different from planning to cut jobs at large scale as a company strategy. That's not our strategy. We invest in people. We expect more stores. We expect to grow. So the answer is no. But of course, in day-to-day business, this may appear.
Fabienne Caron: Thank you, Kai. The next question is from Matthias Inverardi from Reuters. Can you outline in detail how logistics will be improved by your partnership with JD.com?
Kai-Ulrich Deissner: Let me try to take that, and I'm sure Remko is eager to add some details, but I want to place it first. Without wanting to be too defensive here, no, we cannot outline this in detail yet. Please respect that we're still in a phase where regulatory approvals are outstanding when there is no detailed discussions between the 2 companies, so we cannot give you a detailed answer. What I can tell you is what our ambition is and what we believe JD.com is strong. And I think I hinted at that already. They're very strong in very efficient delivery to customers. More than 90% of the deliveries in China reached their customer the same day or the next day. And just let that sink in. We're talking about China and not just the cities, I mean all of China. So as JD is rolling out these delivery expertise to Europe, it is our expectation and actually our agreement that we will be able to participate in this. This is what I can say in general. But detail is probably difficult to share at this stage.
Remko Rijnders: Yes, it's difficult. We acknowledge that logistics is a very, very important part in an omnichannel strategy that we, as CECONOMY MediaMarkt have. And we have made very good progress. Automatization in Germany. Our NPS of delivery is going up. But yes, as Kai said, 1 of the reasons to look into synergy effects to thinking direction is, of course, this enormous strength on that last mile logistics, which accelerate basically our strategy that we have defined together. So I'm very much looking forward to that cooperation. But of course, logistics is going to be a customer-facing logistics topic for all of us. So yes.
Fabienne Caron: Thank you, Remko. The next question is from Alexander Zienkowicz from mwb research. Congratulations on the results. You have your focus on the finish line, but could you provide us some glimpse beyond '25, '26. And secondly, with your free cash flow improving significantly, could you elaborate on capital allocation?
Kai-Ulrich Deissner: Yes. Thank you, Alexander, and good to hear from you again. Let me give you a perspective where we stand, and then Remko will say something about the numbers. First of all, where we stand. The #1, #2 and #3 priority is making sure that we deliver our promises for the end of the current financial year. So the infamous EUR 500 million EBIT and the EUR 200 million steady cash flow. That is and remains our priority. Now we realize, of course, that we're confident to achieve that. So we are already thinking about the phase afterwards. And what I can anticipate that we expect to invite all of you towards the middle of next year, calendar year, to a strategy update where we will share the outlook on the next phase of our journey. So beyond the 30th of September, 2026. Expect that to appear in your diaries eventually for some time in the middle of next calendar year. And on the financials, Remko, do you want to dare to give an outlook already, or be careful?
Remko Rijnders: No, I'm always careful, but very confident, of course. So first of all, thanks for the congratulations, Alexander, and good morning. So yes, we are very proud as well, as you mentioned, and I mentioned already, cash is king, on our achievement on free cash flow. Of course, as I mentioned already in the presentation, is that gives us a bit flexibility also to invest in our future and our future strategy. As Kai already mentioned, we will come back towards the next step. However, 2026 has been clearly defined, above EUR 200 million, EUR 500 million, and also how we want to get there with growth areas. So yes, there will be significant investment also in logistics, but especially also in the growth areas, because as you have seen, this is paying off. But the detailed capital, let's say, allocation, of course, we will come back on that topic later. But it's supporting our current strategy. That's for sure.
Fabienne Caron: Thank you, Remko. The next questions come from Javier Mesa at elEconomista in Spain. What stage in the process of modernization in MediaMarkt are you? And will the smart format arrive in Spain in the coming months?
Kai-Ulrich Deissner: Yes, Javier, thanks for the question. I'll be slightly evasive about this, but I ask your understanding. Let me be very clear. Each of our store formats, so that's the core format, the classical MediaMarkt, the Smart and the Express and the Lighthouse. Each of those formats is designed for each and every country. This is not country-specific. We expect to have these formats in each and every country. But I'm not able, and frankly, also not willing at this particular moment to share details of the rollout plan in any particular country. I would have given the same answer about Turkey or Italy or so. But yes, you can expect all of our store formats to be available in all of our countries in the future.
Fabienne Caron: Thank you, Kai. The next question comes from Carlos Torres, [indiscernible] Spain. You have pointed out our important spend is for the group. Could you specify the company sales for Spain? And what are your forecasts for next year?
Remko Rijnders: Yes. So let me take that question, Carlos. Thank you very much. As you, we are very proud of Spain as a country. It's a growing country. As I mentioned, we are doing better in the market in Spain, and that's due to really the team working for us in Spain and basically using all sales channels, B2B, online, off-line and, of course, marketplace. So from that perspective, we are happy. We see the market growing. We see us also growing in that market. We are preparing, also the Spanish team are preparing really some nice new propositions also from a customer perspective. So we are very much looking forward. Do I want to pinpoint a number specifically on the country today? I do not. But we are very positive about Spain and the performance and also about the future for Spain next year, or this year actually.
Kai-Ulrich Deissner: We love Spain.
Remko Rijnders: Yes, Spain is good.
Fabienne Caron: So at this point in time, I see no further questions.
Kai-Ulrich Deissner: My personal experience is, we will wait for a moment or so. Sometimes people need a moment to warm up. I'm afraid we haven't got anything planned to bridge the time now. So you'll just have to bear with us for a moment.
Remko Rijnders: We made a nice Christmas movie, so maybe.
Kai-Ulrich Deissner: Okay. I'm checking with our back-office team here. No questions or more questions? One more coming. Okay.
Fabienne Caron: Yes. The question is as well from Frank Meßing of [indiscernible]. He is asking how many stores we're going to modernize next year in Germany?
Kai-Ulrich Deissner: Frank, thank you for the question. I will give you the -- I think the answer has already been given. We have a target of modernizing or having modernized 90% of our core formats. Let me just be clear what that is, that's your classical MediaMarkt, right. 90% at the end of next financial year. And so that's also the answer for Germany. As to the numbers, that's roughly 400 stores. I'll give you the number now, 400 stores in Germany. So 90% of that is 360 stores that we will plan to have modernized by the end of next year.
Fabienne Caron: The next question comes from Philip [indiscernible]. First, is there any further changes planned on Saturn in 2026? Will the brand continue to exist in Germany on- or off-line? And second, your adjusted EBIT improved, but not your reported EBIT. Could you give a guidance for reported EBIT?
Kai-Ulrich Deissner: Yes, Philip, thank you on the Saturn question. I want to be very clear about this because there are so many rumors and often also so many questions around. Look, we have 2 brands. Actually, if you're really picky, we have three. MediaMarkt, MediaWorld in Italy and Saturn here in Germany. And we are proud of every element of that brand architecture. Now there's people out there who tend to buy more with MediaMarkt and there's people who tend to buy more with Saturn. We take that very seriously. That's why whenever we do modernize a store, as we've just talked about, we look at that store in a lot of detail and really come up with a decision that is specific to that store. And in Germany, we have 2 options. It's MediaMarkt and it's Saturn. And it stays like that. What I would want to emphasize is the value of our brands, of our joint brands, yes, MediaMarkt and Saturn. And we've just recently, from Brand Finance, received confirmation that our brand equity increased significantly, including Saturn by EUR 500 million year-over-year increase to EUR 2.5 billion now. So that's a strong argument for that double strategy of our brand. And for the second part of the question, I'll give it to Remko.
Remko Rijnders: Yes. Thank you very much, Kai, and thank you very much, Philip. Let me repeat the second part of the question maybe. Your adjusted EBIT improved, but not your EBIT. Can you give a guidance on EBIT? And let me come back to what I said before, so adjusted EBIT indeed improved to a staggering amount of EUR 378 million. What is causing the EBIT to be negative is the investment that we did in our future, in the JD Corporation, accounts for EUR 32 million from nonrecurring items. It had a big impact. And also the Poland restructuring to build for the future, but we already mentioned where we want to be with Poland. So that had the biggest impact. What is our future outlook? Our future outlook is a positive outlook on EBIT and, of course, the around EUR 500 million in adjusted EBIT.
Fabienne Caron: Thank you. The next question is from Jerome [indiscernible] from The Telegraph. So we are moving to the Netherlands. Question on data. You leveraged consumer data successfully with the off-site program. We're thinking -- we're talking here Retail Media. Do you expect regulatory scrutiny of this program also with JD.com in the Chinese context.
Kai-Ulrich Deissner: Jerome, thanks for the question. Look, we are right in the middle of a regulatory approval process, and perhaps let me outline just where this stands in a bit more detail. There is merger control, there is foreign direct invest, and there is subsidy control by the European Union. Now I'm very happy to say that merger control has already been improved in each and every country where this is relevant for us. On foreign direct invest, the process is ongoing. We're happy to already have received an approval by the Italian authorities. All other processes are ongoing. And I do imagine that, of course, questions of data are always part of that, but none that are particular to these off-site campaigns, as you mentioned. Furthermore, I cannot and it would not be adequate to comment at this particular stage. I would want to close and emphasize again, we remain very confident and expect to close in the first half of 2026.
Fabienne Caron: Thank you, Kai. The next question has come from Ulrike Dauer, Dow Jones. First questions. At the 2023 Capital Markets Day, beyond the adjusted EBIT target for '25-'26, you gave out other target for adjusted free cash flow and adjusted EBIT margin, which seems a bit outdated now. Can you update those targets at this point in time?
Remko Rijnders: And I'll take that perhaps together with the second question for a dividend because it's also from Ulrike, yes. Now let me say here that we will not comment on numbers in any detail. If we are really picky, we gave an adjusted EBIT target for the end of next year, that's EUR 500 million. We gave that number in our Capital Markets Day, and we have repeated that number precisely to the last decimal since. We have, at the Capital Markets Day in 2023, said that we expect a stable cash flow of EUR 200 million per year, and we're also not changing that number. As for the dividend, we have a standing policy as a company. And that policy, I think we revealed it here last year, exactly a year ago, if I remember correctly. Let me just reiterate that, because that policy is still in place. And it is that between 15% and 25% of the net profit or EPS per year can be distributed as a dividend. That has not changed. We've reviewed it here a year ago, and it is still stable. That policy has not changed and will also be relevant in the future.
Fabienne Caron: Thank you. We have an additional question from Alexander Zienkowicz from mwb research. Retail Media trends to grow because marketing budgets are tight as brand shifts spend towards more performance-driven channels. To what extent is your growth benefiting from this dynamic?
Remko Rijnders: Yes. So Alexander, thanks for that question because, first of all, as mentioned, we are already extremely proud of our growth when it comes to Retail Media. That being said, we are just at the beginning also when we look at our competitive field. There is a huge possibility to make that even a bigger part of our growth area, our growth business. It's true that basically the SEO, the whole world is changing there. AI comes into play. So yes, there is huge opportunity already in the Retail Media area where we are today, because we are just at the beginning. Yes, we are already better performing than we expected for 2025 fiscal year, and we expect a growth there as well. That being said, it will not be only on paid. We are also working very, very hard on the organic traffic in our organization. It's about brand awareness. So that also plays a role in this partner marketing and Retail Media. But you're right, it will play a significant part in combination to paid search and organic growth of our company, which helps then non-endemic or our suppliers of MediaMarkt to turn as well.
Fabienne Caron: Thank you, Remko. I see no further question at this point.
Kai-Ulrich Deissner: Still going to give it 30 seconds. Last time, I was successful in tickling out a few more questions. Okay. Look, thank you all for your time and for your questions and all the energy today. I trust that you've seen that Remko and I and Fabienne and the whole team, actually, that 50,000 people here at MediaMarkt and Saturn work very hard to bring what we call experienced electronics to life. And we will continue that journey. And we will continue it also in a partnership with JD.com after that transaction closes in the first half of 2026. We will, of course, keep you posted about this process. And in the meantime, if you would like to engage with us in any of our regular channels, we are very happy to continue those conversations. Please also mark February 11 already in your diaries. That's when we will present our Q1 results and, of course, share much more details about the Christmas and Black piece. Until then, Remko, Fabienne and I and everyone here at MediaMarktSaturn wishes you a very Merry Christmas and a wonderful holiday season. Enjoy your time with your loved ones. And if you don't have all the presents yet, come to our stores or order online, even on the last day before Christmas, because with a 90-minute delivery, we'll make sure that you got something to put underneath the Christmas tree. Thank you very much for today. We are very much looking forward to speaking to you next year. Thank you very much, everyone.